Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the High Liner Foods Incorporated Conference Call for Results of the Third Quarter of 2023. [Operator Instructions] This conference call is being recorded today, Thursday, November 9, 2023 at 10 a.m. Eastern Time for replay purposes. I would now like to turn the call over to Kimberly Stephens, Vice President of Finance for High Liner Foods. Please go ahead.
Kimberly Stephens: Good morning, everyone. Thank you for joining the High Liner Foods conference call today to discuss our financial results for the third quarter of 2023. On the call from High Liner Foods are Paul Jewer, Interim Chief Executive Officer and Chief Financial Officer; and Anthony Rasetta, Chief Commercial Officer. I would like to remind listeners that we use certain non-IFRS measures and ratios when discussing our financial results as we believe that these are more useful in assessing the company's financial performance. These measures are fully described and reconciled to IFRS measures in our MD&A. Listeners are also reminded that certain statements made on today's call may be forward-looking statements that are subject to risks and uncertainties. Management may use forward-looking statements when discussing the company's strategy and business in the future. Actual operating or financial results could differ materially from those anticipated in these forward-looking statements. High Liner Foods includes a thorough discussion of the risk factors that can cause its anticipated outcomes to differ from actual outcomes in its publicly available disclosure documents, particularly in its MD&A and annual information form. Please note that High Liner Foods is under no obligation to update any forward-looking statements discussed today. After markets closed yesterday, November 8, High Liner Foods reported its financial results for the third quarter ended September 30, 2023. That news release, along with the company's MD&A and unaudited condensed interim consolidated financial statements for the third quarter of 2023 have been filed on SEDAR+ and can also be found in the Investor section of the High Liner Foods website. If you'd like to receive our news releases in the future, please visit the company's website to register. Lastly, please note that the company reports its financial results in U.S. dollars, and therefore, the results to be discussed today are also stated in U.S. dollars, unless otherwise noted. High Liner Foods common shares trade on the Toronto Stock Exchange and are quoted in Canadian dollars. I will now turn the call over to Paul for his opening remarks.
Paul Jewer: Thank you, Kimberly, and thank you for joining us today to discuss our third quarter 2023 financial performance. After nearly a decade with the company, I'm pleased to lead this conference call in my capacity as Interim CEO. I will start the call with commentary on our performance, strategy, operating environment and outlook. I will then pass the call to Anthony, who will provide further color and context on our commercial operations. I will close the call with a review of our financial results. Turning now to our performance for the third quarter. We grew volumes and increased our overall market share in a tough market. During the quarter, we continued to sharpen our sales execution and work closely with our customers to offer tailored promotions. We also continue to innovate to further refine our portfolio with the launch of new species and continue to deliver value-focused solutions to customers and consumers. We moved closer to our normalized inventory position and in the process, continue to increase operating cash flow and improve our leverage ratio, further strengthening our balance sheet. In the current operating environment, these are significant accomplishments, and they speak to the strong underlying fundamentals of our business from an operational and financial perspective and consistent execution from our focused and experienced team. However, despite these third quarter achievements, the challenges of our operating environment continued to put pressure on our profitability. Gross profit and adjusted EBITDA declined in the third quarter. Therefore, we no longer expect to deliver year-over-year adjusted EBITDA growth as we have done so for the past 4 years. I believe that this is a temporary setback. While there are certainly some internal issues at play that I will discuss momentarily, the challenges that contributed to the decline in adjusted EBITDA this quarter include prolonged inflationary pressures and high food prices, especially in proteins. Higher pricing and greater budget constraints on households across North America continue to impact consumer purchasing decisions. First, in retail and now also in some segments of the foodservice industry. These pressures softened demand for our products at a time when the frozen seafood industry, like many others, was flush with inventory as a result of investment during the prior year of supply constraint. Internally, higher inventory levels came with higher carrying costs and impacted efficiencies in our plants due to lower production, both impacting adjusted EBITDA. This quarter, our inventory position continued to improve. And while we were successful in selling through inventory, it did have an impact on profitability. We forecast that improvements to inventory will continue in the near term and help alleviate the pressure of profitability and efficiency. We also expect to benefit from lower costs in what is now a more favorable raw material purchasing environment. As we expect external headwinds to ease, we are also proactively driving change internally. We are advancing a series of measures to optimize our manufacturing and supply chain. We have become adept at driving continuous improvement across our operations in recent years, and I'm confident in the team's ability to take corrective action to ensure tight alignment between sales, operations and supply chain to ensure we are operating as efficiently as possible. We are also continuing to carefully manage all costs and ensure a prudent use of capital expenditures across the business. As I look forward, I believe our strategy is solid. They are leveraging our competitive advantages, differentiating ourselves in the market with our branded and value added solutions, continually diversifying our portfolio and our supply chain and operating in a segment of the market that has enormous potential to not only rebound, but grow in alignment with consumer trends on healthy eating and sustainable proteins. Not only is our strategy solid, so too is our balance sheet. The improvements to cash flow continue to support the overall financial health of the company. This gives me confidence that we have the financial strength and flexibility needed to not only navigate significant challenges, but also seize opportunities to build for the future in terms of the frozen seafood category, our portfolio and our competitive position. We are also in the fortunate position to be able to increase the dividend this quarter while remaining well-positioned to make the necessary investments in our business in the near and longer term. The return of capital to shareholders, while we continue to position the company for future upside is central to our value proposition. With that, I will pass the call over to Anthony to hear more about our retail and foodservice performance during the third quarter. Anthony?
Anthony Rasetta: Thanks, Paul. I'll start my remarks with a discussion on foodservice, which, together with the growth of our contract manufacturing business was the driver behind sales volume growth during Q3. We made broad based gains across segments and species in our noncommercial business performed particularly well. We saw our health care, education, lodging and recreation segments continue to rebound from the pandemic and show resilience in the current market dynamics. We are growing and gaining market share in the strategically important segments of quick service restaurants and casual dining, which remain areas of considerable upside for us. All of this led to our 10th consecutive quarter of growth in foodservice. We achieved this at a time when the foodservice industry is now feeling the impact of the financial pressures facing consumers across North America. This is particularly apparent and away-from-home dining where traffic is now down in this quarter for the first time this year as consumers pull back on dining out or trade down within the category. While the declining foodservice market conditions will add to the competitive pressures we face, we are well positioned to offer solutions to operator pain points. One of the ways we are doing this is through partnership with our customers on insights and analytics, providing foodservice operators with the data to support the value of our offering in terms of the innovation, value, menu simplification and efficiencies needed for foodservice success in tough economic times, preparing strong data and analytics with further innovation and diversification in our portfolio to emphasize value. For example, we are gaining good traction on the launch of a new species, Southern Blue Whiting, also known as Blue Cod and have made inroads with major U.S. distributors and Canadian value channels. Blue Cod is a great value white fish that offers operators significant menu versatility and provides further portfolio diversification for us. We are off to a strong start with the marketing efforts to build awareness and acceptance of the new species and have the support of leading distributors who are equally excited about the potential here. Our foodservice business is performing well with schools, colleges and universities, or supporting our presence on the cafeteria menu with brand presence on campus. For example, in the third quarter, we worked with a partner to undertake a promotional tour across 25 of the largest colleges in the U.S. to educate and engage our target growth demographic in the benefits of seafood. It was a successful start to a longer term strategy focused on appealing to the next generation of seafood consumers who are value driven and values aligned in terms of the health and sustainability benefits of seafood. We also continue to put marketing dollars behind our established growth species such as shrimp. As a result of very effective marketing activation and the appeal of the product, we secured incremental distributor listings and increased volume in our value added shrimp foodservice offering during the third quarter. All this serves to illustrate that despite the softening in the foodservice industry, we are continuing to strengthen our offering and drive ahead with our growth strategy. While we cannot fully offset the impact of the macroeconomic environment and the pressure it puts on our ability to grow at the same level of profitability, there is much we can control, and we are fortunate to have the momentum generated by 10 consecutive quarters of growth to fuel us through current market challenges. Shifting over to retail. The tough environment persisted in Q3, and our foodservice performance was once again partially offset by the continued softness in retail during the quarter as a result of inflationary impacts. We continue to see a trade out of proteins and into more affordable food choices and channels. While the retail headwinds are significant, there were still several bright spots. For example, we grew market share in Canada and maintained our share in a difficult U.S. retail market. We did this through the breadth of our portfolio, growing market share in our value based Fisher Boy brand in value channels and through the right promotional activity on our core Sea Cuisine's skin pack portfolio in the U.S., while making gains in Canada on the value part of our portfolio with successes in our family pack and Catch of the Day products. Given the value orientation of the market, we are also strategically leaning into our private label offering. We are fortunate to already be established in this area and able to pivot further resources to capitalize on and drive growth in private label as consumers seek out value. We are also fortunate, given our scale and market leadership position that we can be aggressive with retail promotions to successfully sell-through inventory and demonstrate the exceptional value of our products. Our goal here is to bring consumers back to the retail frozen seafood category, supporting our customers and the long-term prospects of the category in the process. The shift in our portfolio mix and the emphasis on promotions inevitably has had an impact on profitability in the short-term. We will continue to adjust these levers moving forward as we seek to balance the need to compete on value, reignite category growth and maintain our brand profile with the need to ensure an optimal portfolio mix to support our strategic and financial goals. With that, I'll pass the call back to Paul. Paul?
Paul Jewer: Thanks, Anthony. Turning now to our financial performance. Please note that all comparisons provided during my financial review of the third quarter of 2023 are relative to the third quarter of 2022, unless otherwise noted. Sales volume increased in the third quarter by 600,000 pounds or 1% to 61 million pounds. In our foodservice business, sales volume was higher due to increased contract manufacturing business, increased sales in newer product lines and improved customer service levels. The company achieved strong service levels during the third quarter of 2023 as compared to the third quarter of 2022 due to the increased investment in working capital in the latter part of fiscal 2022 to mitigate the impact of the global supply chain challenges. This was partially offset by lower sales volume in our retail business due to the continued impact of inflation. This resulted from softer demand for protein, including seafood product as consumers switch to lower cost alternatives. Sales decreased in the third quarter by $11.5 million or 4.2% to $259.7 million due to changes in sales mix and sharper pricing, most notably on some of our commodity products during the third quarter of fiscal 2023 compared to the inflationary environment in the same period last year. This decrease was partially offset by higher sales volumes mentioned previously and some inflationary pricing actions implemented during the last quarter of fiscal 2022 and the first quarter of 2023, which remained in effect during the third quarter of fiscal 2023. The weaker Canadian dollar in the third quarter of 2023 compared to the same quarter of 2022 decreased the value of reported U.S. dollar sales from our Canadian dollar denominated operations by approximately $1.7 million relative to the conversion impact last year. Gross profit decreased in the third quarter by $7.1 million or 12.5% to $49.6 million, and gross profit as a percentage of sales decreased by 180 basis points to 19.1% as compared to 20.9% in the third quarter of 2022. The decrease in gross profit reflects changes in product mix, higher carrying costs associated with higher inventory, including sharper pricing on some of our commodity products and some inefficiencies in our plants. The decrease in gross profit was partially offset by the increase in sales volume and inflationary pricing actions on some products. The weaker Canadian dollar decreased the value of reported U.S. dollar gross profit from our Canadian operations in 2023 by approximately $300,000 relative to the conversion impact last year. Adjusted EBITDA decreased in the third quarter by $4.8 million or 19.4% to $20 million, and adjusted EBITDA as a percentage of sales decreased to 7.7% compared to 9.1%. The decrease in adjusted EBITDA reflects the decrease in gross profit, partially offset by the decrease in distribution costs and net SG&A expenses. The weaker Canadian dollar decreased the value of reported adjusted EBITDA in U.S. dollars from our Canadian operations in 2023 by approximately $100,000 relative to the conversion impact last year. Reported net income decreased in the third quarter by $4.5 million or 45% to $5.5 million and diluted earnings per share decreased by $0.12 to $0.16. The decrease in net income reflects the decrease in adjusted EBITDA, an increase in finance costs and income taxes, partially offset by lower share-based compensation expense. Excluding the impact of certain non-routine or noncash expenses that are explained in our MD&A, adjusted net income in the third quarter of 2023 decreased by $9.4 million or 65.7% to $4.9 million, and correspondingly, adjusted diluted earnings per share decreased by $0.27 to $0.14 in the third quarter of 2023. Turning now to cash flow from operations and the balance sheet. Net cash flows from operating activities in the third quarter increased by $63.9 million to an inflow of $54 million compared to an outflow of $9.9 million in the same period in 2022 due to continued improvements in noncash working capital after significant investment in inventory during fiscal 2022. We remain focused on maintaining the strong improvements made in working capital year-to-date, adjusted for our investment and seasonal working capital in the last quarter of fiscal 2023. Capital expenditures were $13.1 million in the first three quarters of 2023 compared to $11.8 million in the prior year, reflecting continued investment in our business. Net debt at the end of the third quarter of 2023 decreased by $80.7 million to $304.8 million compared to $385.5 million at the end of fiscal 2022, reflecting lower bank loans and long-term debt as we continue to direct higher cash flows from operations towards net debt reduction. Net debt to adjusted EBITDA was 3.1x at September 30, 2023, compared to 3.7x at the end of fiscal 2022. Net debt to rolling 12 months adjusted EBITDA increased during fiscal 2022 due to increased investment in inventory. However, we made additional progress this quarter in reducing the ratio and getting us closer to our long-term target. In the absence of any major acquisitions or unplanned capital expenditures in 2023, we expect this ratio to be in line with the company's long-term target of 3x at the end of the year. Before we open up the call to questions, I also want to provide a brief perspective on the report released by Outlaw Ocean, a Washington based NGO into the labor operations of certain Chinese fish processing plants. As we have said many times before, our business approach will always be grounded in the principles of sustainability, and we remain focused on our continuing efforts to meet our environmental, social and governance goals. For nearly 125 years, we have operated as a responsible corporate citizen, have deeply embedded sustainability practices into our DNA. Upon receiving initial contact from Outlaw Ocean, we researched the claims extensively across our supply chain and specifically with one of the suppliers implicated in this report. This supplier was audited by our third-party social compliance auditors as part of our regular supplier audit process in December 2022. However, after hearing of the allegations brought forward by Outlaw Ocean, we conducted a second third-party audit completed in August 2023, finding no evidence in either audit of the use of force labor. That said, once we became aware of the full extent of the allegations, we made the decision to no longer conduct business with this supplier. As an organization that is committed to responsible operations in all that we do, the decision to cease operations with the Yantai Sanko Fisheries was made regardless of business impact. Although the sales volume and number of products impacted is relatively small, we remain focused on ensuring all of our supplier partners comply with our code of conduct. We also remain committed to advancing our goals in environmental, social and governance performance as outlined in our ESG report on our website. To wrap up our call, I reiterate my confidence in our business, our strategy, our people and our prospects for profitable growth. My optimism is fueled by the opportunities I see for us to drive performance improvement across our business. As I have assumed the Interim CEO responsibilities, I've had the opportunity to talk with many of our leaders and a number of our customers, suppliers and industry partners. All of those conversations have cemented my view of the opportunity and responsibility High Liner has to help drive growth across the North American seafood category and lead in sustainable business practices for the industry. We are managing our business to create long-term value for our stakeholders, value that will persist beyond economic cycles and will ensure across generations. This approach has supported over 124 years of our business, and I am confident that High Liner Foods will continue to rise to the current challenges and capitalize on the opportunities to shape the future of the seafood industry. Thank you for your support, and I look forward to speaking with you about our business again when we release our results in February. With that, I will hand things over to the operator to open the call for questions. Chris?
Operator: Thank you. [Operator Instructions] Your first question comes from Kyle McPhee, Cormark. Kyle, please go ahead.
Kyle McPhee: Hello, everyone. First question, I think you've mostly lapped the period of client order shorting from last year. So should we expect volume growth to increasingly shift negative in the upcoming quarters? Or are there offsetting factors to be aware of in terms of trend changes in retailer foodservice that might offset that?
Paul Jewer: Yes. Certainly, we are focused on continuing to deliver volume growth. And you're right, we have lapped now the shortages that we experienced primarily in the earlier part of 2022. We did have some storages in the fourth quarter of 2022 as well. But we see opportunities even in this more challenging macroeconomic environment to continue to work with our customers and support volume growth, but also do that with an eye to improving the profitability of that volume growth.
Kyle McPhee: Got it. Okay. And then the -- I think one of the volume headwinds in retail channel beyond the consumer behavior has just been elevated inventory levels among your retail clients. Is that still a headwind or is that normal?
Paul Jewer: Kyle, we are certainly in a better place across the industry in terms of inventory levels. And obviously, as you can see from our results in a better place internally when it comes to inventory levels as well. And that's given us the opportunity to be out there buying in this current more favorable environment. So we see the inventory headwinds certainly being behind us by the time we close out the year.
Kyle McPhee: Got it. Okay. In Q3, the gap between your volume growth and your margin growth was about 5%. So that's the implied price deflation. Can you quantify how much of that deflation is actual pass through of species input deflation versus your promotional activities?
Paul Jewer: I would say most of it is the pass through of species deflation, particularly in our commodity business where you see that pass through more quickly. We did increase some of our promotions to support volume, and we will continue to do that. But the other piece that was reflected in that lower pricing from a species perspective, is we were focused on moving through inventory as well and had sharpened up some of our pricing to support that.
Kyle McPhee: Okay. Thanks for that color. And then you mentioned in your prepared remarks, steps being taken to enhance your value offerings. I'm guessing that's to better catch the consumer trade down. Can you be more specific on some of the things you're doing?
Anthony Rasetta: Kyle, it's Anthony. Thanks for the question. Yes, absolutely. So as you heard us talk a little bit about, we absolutely have the diversity in our portfolio. So first and foremost, leveraging the value parts of our portfolio in those brands. So in the U.S., for example, we have our Fisher Boy brand, which is our value brand. We gain market share there by doubling down on growth within value channels and dollar channels, in particular. But even on the premium side of our portfolio with Sea Cuisine, which is our key brand in the U.S., we were able to drive some key promotional activity with a couple of our strategic customers to get consumers back into the category. And so we'll continue to leverage that. Within foodservice, we talked a little bit about the diversification of our species, so introducing a new specie in Blue Cod, but also leveraging other of our value species within the portfolio to offer operators, in particular, better value, better menu simplification and better back-of-house operations overall. And then finally, we have our foot already in private label pretty significantly. And as we are seeing continued growth in private label in the market, we'll continue to use that as an opportunity to drive growth.
Operator: Thank you. Your next question comes from Nevan Yochim, BMO Capital. Nevan, please go ahead.
Nevan Yochim: Thanks and good morning, guys.
Paul Jewer: Hi. Good morning.
Nevan Yochim: [Indiscernible] could you just stay with pricing and mix here. I wonder if you could give a bit of detail on where that's trended quarter-to-date? And then maybe your expectations for Q4 as a whole and if you have any visibility into next year?
Paul Jewer: Yes. So I think the trend in Q4 has been similar to what we've seen in the third quarter in terms of mix in the business. Obviously, we are doing what we can in the fourth quarter and as we get ready for the important lent and selling season in Q1 next year to use our opportunities from an execution perspective, our promotional capabilities to shift some of that mix to a more profitable mix for us, and we see some opportunities to do that. And then the other piece is certainly, as we talked about, focus on improving plant performance and managing costs in this environment, which we also believe can support near-term profitability. So we look to 2024 as an opportunity for us to improve on the results that you saw in the third quarter.
Nevan Yochim: Okay. That's helpful. And then maybe just on foodservice. Can you talk about what you're seeing in terms of the industry volume declines quarter-to-date? And then what that might mean for your volumes?
Anthony Rasetta: Hey, Nevan, it's Anthony. So within foodservice, what we started to see this quarter for the first time was the downtick in traffic. Now that's separated depending on the channel and the segment we are referring to. So QSR, quick serve restaurants, are still growing the traffic overall, but casual dining and other out-of-home dining segments are showing some declines. The good news for us is that we are actually overdeveloped in the noncommercial side of the business. So think schools, hospitals, long-term care facilities that business tends to be more recession resilient for us. It's about 2/3 of our foodservice business. And so we'll continue to take advantage of the relative stability there versus other parts of the market. In quick serve restaurants that I talked about, we had some nice market share gains this quarter, and we believe QSR will continue to gain share relative to competition. We don't compete in fine dining establishments, which we think are going to take a bigger hit in terms of the recessionary impacts. So foodservice has held up better than kind of we expected through the first part of this year, but we are starting to see that initial softening, but we think our index to noncommercial as well as the upside that we have where we are underdeveloped in QSR and some of the other dining establishments will set us up for some continued benefit going forward.
Nevan Yochim: Okay. Okay. And then maybe just moving down the income statement on gross margins. Can you provide some details on the impact from the higher inventory levels and then the plant inefficiencies in the quarter? And then maybe sort of how you expect that evolving in Q4? It sounds like there will be a little bit left in Q4 and then fully gone by next year?
Paul Jewer: Yes. I think you're right. We will still see a little bit of a lag effect in Q4, certainly be in a much better position as we start 2024. Inventory carrying costs were certainly one impact. Obviously, we had more to store and the cost funds with that. We also, as I've mentioned, sharpened up some pricing to move through some of the inventory, which, as you can see from our balance sheet, we were successful in doing. And then in the -- from a plant perspective, when you have higher inventory levels, you're producing less. And so that had a negative impact on absorption. And also it identified areas in our plants where we can also become more efficient at running the product that we are running. So we see those as opportunities that we are already starting to make some progress on in this quarter. And certainly, we'll be in a much better position as we start the year.
Nevan Yochim: Okay. Understood. And are you able to quantify sort of the magnitude or the percentage, the amount of the decline in gross margin that you saw in the quarter that would have come from these like higher inventory levels?
Paul Jewer: I wouldn't be able to quantify that specifically because it's so interconnected, to be honest. I mean most of the gross profit decline is covered by those two things, right, which is that the impact of pricing and mix on -- that you saw reflected on the top line, but also the costs on the plant side. So it would be hard for me to try to quantify which of the two is larger. They were both contributing factors.
Nevan Yochim: Okay. No, that makes sense. And then maybe just an extension to that. You talked about improving plant efficiencies. Are you able to kind of talk about, are there any specific initiatives underway. If you could maybe just give us a bit of details on those and when we could expect to see those benefits coming through in the results?
Paul Jewer: Yes, sure. I mean, a couple of things that come to mind. One is certainly material waste management. We see that as being an opportunity, improved uptime and run rates, including supported by better maintenance and some of the CapEx that we are investing in our facilities and also what we've been moving products between facilities in order to provide the most optimal operating environment in those individual facilities. So those are just a few examples of some of the things that are already underway that we've seen this before. So we know that what we have the potential to do from an operating efficiency perspective and are confident that we can get back there.
Nevan Yochim: Okay, great. And I'll maybe just sneak one more in here on M&A. Just wondering if you can talk about sort of what you're seeing in the market in terms of transactions as well as multiples. And then maybe as an extension to that, understanding your near time priority is paying down debt. Getting to that 3x leverage target, where do you need to be in order to start transacting again? Or maybe said another way is, what's the maximum leverage target you'd be willing to go up to following an acquisition?
Paul Jewer: Sure. Yes. So I would say in terms of the environment overall, there seems to be a bit of an uptick in activity and potential opportunities on the horizon. I haven't seen an uptick in actually deals getting done. So perhaps to your point on valuations, maybe there still is a bit of a gap that needs to close there. We are actively out there looking at opportunities because we think that can supplement the good organic growth opportunities that we see ahead as well. But we are going to be disciplined in that regard. As we've talked about before, we are not going to overpay. We are going to make sure it's the right strategic fit. We are going to make sure that we can integrate it well. So there's nothing imminent, and we'll continue to keep you updated as we scan the market and find opportunities that could be a good fit. To your point on leverage, listen, we're comfortable allowing a bit more leverage on the balance sheet than when we are -- where we are today because we've been successful in deleveraging. And we generate strong free cash flow, which gives us the opportunity to deleverage quicker. But we're also very cognizant in this environment, including with higher interest rates that we are not going to over lever the balance sheet in order to get a deal done. Well, if it's the right opportunity with the right strategic fit with the right financial profile, we will finance it appropriately and certainly look forward to talking to you more about that if and when those opportunities present themselves.
Nevan Yochim: Okay, great. Thanks, Paul. Thanks, Anthony.
Paul Jewer: Thanks, Nevan.
Operator: Thank you. [Operator Instructions] There are no further questions at this time. Please proceed.
Paul Jewer: Thank you, Chris. To close, I want to thank you all for joining the call today. We look forward to updating you with our results for the fourth quarter of 2023 on our next conference call in February.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.